Operator: Thank you for standing by. My name is Christina, and I will be your conference operator today. At this time, I'd like to welcome everyone to the DoorDash Q4 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’’ remarks there will be a question-and-answer session. [Operator Instructions] Thank you. I'll now like to turn the call over to Wes Twigg. Wes, the floor is now yours.
Wes Twigg: Good afternoon, everyone, and thanks for joining us for our Q4 2024 earnings call. I'm very pleased to be joined today by Co-Founder, Chair, and CEO, Tony Xu, and CFO, Ravi Inukonda. We'll be making forward-looking statements during today's call, including, without limitation, our expectations for our business, financial position, operating performance, profitability, our guidance, strategies, capital allocation approach, and the broader economic environment. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Many of these uncertainties are described in our SEC filings, including our most recent Form 10-K and 10-Qs. You should not rely on our forward-looking statements as predictions of future events or performance. We disclaim any obligation to update any forward-looking statements except as required by law. During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial measures, including a reconciliation of such non-GAAP measures to the most directly comparable GAAP financial measures, may be found in our earnings release, which is available on our investor relations website at ir.doordash.com. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. Finally, this call is being audio webcasted on our Investor Relations website. An audio replay of the call will be available on our website shortly after the call ends. Operator, I'll pass it back to you and we can take our first question.
Operator: Great. [Operator Instructions] And your first question comes from the line of Ross Sandler from Barclays. Your line is open.
Ross Sandler: Hey guys, Tony, thanks for the letter. All with some great new interesting stats in there. So I wanted to start with some of these new, kind of, penetration stats. So you're basically saying the funnel has like a 800 million person TAM and that your active shoppers are about 100 million and that these active shoppers order about 7 million times per day. So I guess the question is, what's the bigger opportunity to increase the 7% frequency or the 12% penetration? And what does the most penetrated market look like for these stats? Like what's the north star on either frequency or penetration, which kind of move hand-in-hand? Thanks a lot.
Tony Xu: Hey Ross. Yes, I'll start and you know feel free if you want to add anything, Ravi. I think when I step back and look at the opportunity in front of us, I couldn't be more excited or bullish about both what we have been working on, as well as what is to come. And I think in part it's because of what you're talking about, which is the long runway in all of the areas where we've explored. You know, if you took our oldest area of exploration, U.S. restaurants. We -- I mean, that would be, you know, the “most penetrated” in terms of usage of our products. And, you know, we're still single-digit percentages of the U.S. restaurant industry sales. If you looked globally, that number would be even smaller. And then obviously, if you added in the retail categories or if you added in the first-party channels that we also support across every category. And then if you added the population point that you made, we are a speck of dust in terms of how penetrated we are. And I think the answer is really both in terms of penetration and frequency. On the penetration side, a lot of this has to do with getting into more geographies, launching more of the geographies that we currently serve, but don't yet have a perfect product, as well as making sure that we do a great job in terms of serving the cohorts that we already have. One of the things that we've learned over the years is that it's really hard to keep improving the product, but it's also what we're paid to do. This is what I spend the most of my time on, which is making sure, how do we add more selection? How do we make the product's quality better in terms of accuracy, speed, reliability? How do we make it more affordable across the world? And how do we improve our customer support? And I just don't see an end in working each one of those vectors. That is even more true now as I think about some of the newer areas of exploration. I mean, when I think about grocery or retail, when I think about our commerce platform, I think all of these things are even in much stronger effect or much earlier days of exploration in terms of building a product that we are proud of and building a product that we believe will actually just change behavior. I mean, that's really ultimately what you're trying to do as you think about moving up the curve in both penetration and frequency.
Operator: And does that complete your question?
Ross Sandler: Yes, thank you.
Operator: Okay, perfect. Your next question comes from the line of Shweta Khajuria from Wolfe Research. Your line is open.
Shweta Khajuria: Thanks a lot for taking my questions. Let me try two, please. Could you please talk about contribution profit margins, especially in your international markets, when we think about efficiency gains in logistics versus retention improvement versus frequency versus lowering cost per delivery? Where do you think there is greatest room for upside there as you think about the trajectory? And then second question is, just stepping back a little bit, what is -- Tony, how do you think about 2025 and 2026? What are some of your goal posts for this year and how should we be thinking about it, especially as it relates to investments? Thanks a lot.
Ravi Inukonda: Hey, Shweta. It's Ravi, let me take the first one on the contribution margin. I mean, the theme for us is very consistent, which is A, we are not operating the business towards a specific margin percentage. We always think about operating the business towards more EBITDA dollars, more profit dollars. And if you look at the theme that has been consistent for the last couple of years, we've continued to scale that business, continued to increase the overall density that ultimately is driving the profitability that you're seeing in the business. But more specifically, when you think about our international business, let me give you a couple of stats about what we're seeing in the business today. The business is growing, it's growing quite nicely. They're growing substantially faster than peers. And when I think about it from a profitability perspective, I've talked about it in the last couple of calls that the international portfolio is gross profit positive. That continues to be the case. 2024 is more compared to 2023. And I think about where the business would get to again, think about it, right? Like we are still early in our journey. We're still very early in terms of penetration. We are not in all the cities that, you know, in all the countries that we operate in. Our goal is to continue to scale the business, which ultimately is going to drive efficiency, which will continue to lead to more gross profit in the system. And we are very pleased, you know, with the performance of the business so far.
Tony Xu: Hey, Shweta. Yes, I'll add a little to the first question and then I'll take your second one on the next couple of years. I think one of the things that we've learned in building any of our businesses is that it really is the combined sum or cumulative compounding effect of a lot of small things. And so when you asked a question, whether it's about margin or top line or product improvements, I wish it was as simple as to say, oh, there's one area that has way more room to run than some other areas. What we've actually found is that there's room to run almost everywhere. And when you think about how we've been able to both grow our top line, as well as significantly improve our bottom line, as well as increase the amount of reinvestment in building this business. What you see is really the effect of having invested successfully in scale, having positive margins, and when you multiply those two things together, you just get increasing ability to reinvest. And now you just have to make really good investments, which comes to your second question around the next couple of years. The investment philosophy, when I think about the next couple of years, really hasn't changed. It continues to be -- we only want to invest when we see great signs to do so. So if it's an early stage product, it's generally signs of product market fit for each one of the audiences, making sure that we have a substantial improvement to what already exists in the market. And then having a hypothesis or a path towards monetization and building a strong cash generating business thereafter. And so, you know, that starts with each of the five areas that we've been exploring, our U.S. restaurants area, our business internationally, our business outside of restaurants, our commerce platform and ads. And so that's really where the focal point continues to be. I think we have a lot of work to do, as I mentioned in an earlier question in terms of just improving the product, so that's where most of the investment dollars will go. But we're also in search of future areas of exploration. When I think of local commerce, I think there's lots of problems and I think lots of ways to help grow the GDP within cities. It doesn't mean that we invest in everything, but at the same time, when I see that we have a long runway in our existing areas, I get as excited about the reinvestment into doubling down there, as well as in search of new areas.
Shweta Khajuria: Thanks, Tony. Thanks, Ravi.
Operator: And your next question comes from the line of Deepak Mathivanan from Cantor Fitzgerald. Your line is open.
Deepak Mathivanan: Great. Tony, maybe I'll ask an autonomous vehicle question for you. Obviously the current cost structure of AVs does not make delivery a primary use case, but in a world there in the next five to 10 years as personal vehicles sort of become increasingly autonomous and maybe can pick up food by themselves? How are you thinking about the potential opportunities and risk for Dash? And how are you preparing for an AV world? And then second question maybe for Ravi, can you give an update on Wolt? What are you seeing in some of the fast growing markets? Where does Wolt stand with respect to the new verticals product build out and penetration and early 2025 in some of these key markets. Thank you very much.
Tony Xu: Yes, I'll start on autonomy, Deepak. So, I mean, autonomy, I think, is super exciting. I think it's one of the two big mega trends that's happening right now in technology. The obvious other one is what's happening in the world of LLMs. And I think autonomy has come a long way. I think a lot of us certainly working in the field probably either hoped for or expected this to have come sooner, but I think you're seeing just a lot of exciting existence proof points of what's to come. You're right to say that a lot of people are still trying to figure out the total cost of operations. And the way I think about this is, you know, first and foremost, I would articulate that the problem for autonomous delivery is actually quite different from the problem for Robotaxi’s. Obviously, in the case of Robotaxi’s, you have the passenger who can solve the first and last 10 feet problem where they can enter and exit the vehicle, you know, for the vehicle, so to speak. That is quite helpful in solving that problem. Obviously with, you know, passengers you're going to have to travel farther, there, you know, there's life at risk and so you're going to need, you know, more expensive hardware, you're going to have to travel farther distances and you’re going to have to carry more capacity, that’s very different when you are talking about some of the items deliveries that we partake in. It's an area of exploration that we've now studied for years and have worked on. We don't have anything to announce at the moment, but we're quite excited about all of the challenges. We do think the problem statement is quite different. And I think that it's as important to both build technology that addresses the specific use cases within delivery, as well as understand how the technology and operations must be married in order to achieve the cost profile that you're asking about in your question such that it makes sense for everybody.
Ravi Inukonda: Hey Deepak, on your second point on Wolt. Look, I mean, the international business overall, including Wolt, had a very strong quarter, as well as in fact 2024 has been a very strong year. I mentioned on earlier question that Shweta talked about, which is we're growing faster than peers. In fact, we're growing substantially faster. We're gaining share virtually in every country that we operate in. I look at the entire portfolio, users are growing. We reached an all-time high in terms of our international MAUs, as well as the order frequency continues to grow. That's a combination of us trying to improve the selection, trying to improve quality, as well as continuing to drive affordability. Wolt+, we launched that about two years ago. That business is growing and scaling quite nicely. I look at the slope of that curve compared to DashPass in its early years. It's growing faster than DashPass. And the portfolio of category expansion is also continuing to grow quite nicely. There are several countries where new verticals and grocery penetration in the international portfolio is actually higher than what we're seeing in the U.S. So overall, when I look at the business, I mean, it's strong growth. The unit economics have improved. We're really pleased with the performance of the business, both Q4 as well as full-year 2024.
Deepak Mathivanan: Great. Thank you both.
Operator: And your next question comes from the line of Michael Morton from Moffett Nathanson. Please state, I'm sorry, please state your question.
Michael Morton: Hi there. Thanks for the question. One for Tony and then one for Ravi. Ravi, in the prior 10-Q, you called out international markets utilizing NOLs for the first time. I was wondering if you could talk a bit more maybe about some of the markets that are seeing this inflection in profitability? And then how far some other international markets could be behind those ones utilizing the NOL? So just curious on the curve there. And then for Tony, there's a lot of companies rolling out agents and assistants, it's no secret. And when it comes to e-commerce, there's a thought that as you could be changing the traditional search funnel, it's an opportunity to integrate local inventory more seamless into the consumer shopping experience. So I would love to hear how you're thinking about this opportunity and exploring potential partnerships in providing the infrastructure for these model and I would say upcoming search operators? Thanks guys.
Ravi Inukonda: Yes, Mike, I'll take the first one. I mean, when we think about international, right? I mean, I'm thinking about the overall portfolio as a whole. As we think about that, the overall portfolio is gross profit positive. I talked about earlier that there's countries in there which are contribution margin positive from a poor restaurants perspective. The portfolio looks similar to what we've done in the U.S. right? There's countries where we feel very good about the contribution margin. They're approaching levels that you know they're very positive about. We're using some of those profits to continue to invest behind some of the other markets. And if your question specifically is around tax, I would expect that to be somewhat volatile as we think about the rest of the year, just given the level of profitability that we have in the international markets. We don't expect to be major taxpayers this year.
Tony Xu: Hey Michael, on the second question around AI agents, I mean I definitely agree with the premise that there's going to be a lot of AI agents working on our behalf and you know doing multiple tasks and jobs. The way I kind of see this for DoorDash is really two things. I think one is we have to first and foremost make sure that we master the physical world, right? That's an area where LLMs and AI agents don't necessarily play a significant role. They're an interface in some ways to the physical world, but they certainly don't solve the tasks in the physical world, such as providing the logistics infrastructure, understanding how to do it at the highest quality, the lowest cost, with the greatest accuracy. So that's like, you know, for job number one is make sure that, you know, we perfect that. Job number two is to make sure that we take advantage of these technologies, especially as the costs continue to scale down quite quickly as you see the prevalence of open source models that we can make the greatest use of this technology with all of the data that we have. With billions of orders and over 100 million customers every year, and the graph that we've built both for food and items at a local level, I think there's great opportunity for much better personalization. I think that there's much better opportunity to, you know, virtually improve every part of our operations with LLMs, both via the use of agents, as well as in other ways with LLMs. And so, and then, you know, obviously to state the obvious, with a program as exciting and as penetrating as DashPass, I think that, that will be another way in which we add great value, in addition to the improved personalization, as you think about how these technologies interface. But I think there's two different jobs. I think job number one is we have to make sure that we continue to master the physical world. And then job number two is that we have to take advantage of the assets that we bring to bear and then make use of the technology, especially something as quickly changing as LLMs, so that we can offer customers the best experience.
Michael Morton: Thanks so much, guys.
Operator: Your next question comes from the line of Bernie McTernan from Needham & Company. Your line is open.
Bernie McTernan: Great. Thanks for taking the questions. Just want to touch on bookings, so the acceleration 4Q bookings just wanted to know, you know, what made 4Q so strong, any trends to point to, whether it's restaurant or non-restaurant? And then on the guide thoughts on the deceleration 1Q, I think there's probably some headwinds in 1Q is like leap year California fires FX, but just wanted to see kind of maybe core versus non-core as well. Anything underlying going on? Thank you.
Ravi Inukonda: Hey, Bernie. I’ll take both of these. I mean look coming -- Q4 was a strong growth quarter for us. We are very pleased with the performance of the business. You know, what we're seeing in the business, right, I mean, if you just pull back and look at 2024, restaurants, you know, continues to grow at a very nice pace, growing double-digits. And more importantly, what we saw in the year was stable and as well as consistent growth throughout the quarters. Both new verticals as well as international growing much faster than the restaurant business. We talked about the fact that we have over 42 million monthly active users. That number is growing at a double-digit rate. Order frequency continues to be at an all-time high. DashPass had a strong year as well, right? If you put all of this together, that's what's driving the growth that you're seeing in Q4. As we talk about Q1, I mean, look, we're really pleased with the performance of the business. We are happy with where the business is trending, as well as the guidance that we have given. As you think about sort of like the comp, right? I mean, through one of last year, there was an extra day. There's also some impact from FX, which is roughly about 1% on a year-over-year growth basis. But our business continues to do well. We continue to be overall very pleased with the performance of the business. And more importantly, as I look at the rest of the year, right, very confident with the outlook for the full-year as well.
Bernie McTernan: Great, thank you.
Operator: Your next question comes from the line of Nikhil Devnani from Bernstein. Your line is open.
Nikhil Devnani: Hi there, thanks for taking my question. I have two on the U.S. new verticals, please. So first, how much repeat buying behavior do you see with these newer categories? And I appreciate that aggregate cohort level metrics are probably more important, but it would be helpful to understand if you see repeat engagement or if demand is more episodic in nature? And then second, the letter talks about continued progress towards strong profitability in U.S. new verticals. So how should we think about the scale that you need to get there? And when you think long-term about what that eventual operating profit per order looks like, how does that compare in your minds to restaurant delivery? I'm sure it varies a lot by category, but any commentary you can provide there would be helpful? Thank you.
Ravi Inukonda: I mean, Nikhil, I'll take both of it. I mean, if you think about new verticals, right very strong year, actually. We are the fastest growing in the U.S., we've gained share in new verticals through the year. What you're seeing in the behavior is consumers are continuing to utilize new verticals. They're ordering from all categories. And one of the pieces that we had very early on was now they order from both restaurants as well as new verticals. They continue to increase their engagement on the overall platform. That's showing up very nicely in the early data. And I think both things, right? The number of miles that use new verticals is growing, the order frequency is growing, and more importantly, they're spending more with us on a monthly basis. The overall spend per mile per month that continues to go up. It just goes to show you that the selection that we've added, the quality of the product, all of that is something that consumers love, and we're continuing to focus on that. And your second question around profitability, I mean, a couple things really, right? When we think about profitability, we're thinking about overall dollars that are flowing through the system. We're not thinking about it on a margin percentage basis that continues to be the case for new verticals. When I look at the progress that we've made, I mean, ‘24 was a good year. The unit economics have improved in ’24 compared to ‘23. I feel very good about where we are. What we're focused on right now is scale, because I think we have an opportunity to build a very large business here. I mean, look, ultimately the goal is to drive overall free cash flow dollars higher in the system. At grocery as well as new verticals is going to be a great area of growth as well as overall profit dollar driver for us as we think about over the next you know, several years.
Nikhil Devnani: Thanks Ravi.
Operator: And your next question comes from the line of Eric Sheridan from Goldman Sachs. Your line is open.
Eric Sheridan: Thanks so much for taking the question. Maybe building on the last question, I just want to go a little bit deeper in the state of the grocery side of the business. What were the key learnings of the last year that unlocked elements of either user growth, frequency, or supply. And when you think about the array of supply or frequency looking out over 2025 that isn't in your ecosystem? What do you see as some of the key investments to potentially unlock that potential and how does that inform against your strategic priorities? Thanks so much.
Tony Xu: Hey, Eric, it's Tony. I can take this one. I mean, I guess in short, a lot of this is just making a lot of product improvements. I think that the state of play of where grocery delivery is in U.S. or globally, it's still quite nascent. I mean, if you look at the penetration levels of where it is compared to other categories of e-commerce and delivery, it is still quite lagging. And I think there's several reasons, but the short version of this is that customers today are asked to pay a premium, but they don't always receive the items that they order. That's not a great proposition. And so there's a lot of work that we're just doing to improve each one of these vectors, you know, and, you know, everything from adding more skews to our catalog, understanding, you know, exactly where items are and how we make sure that we deliver with perfect accuracy, making sure that we can increase the affordability of the products, making sure that we are matching the right type of Dashers, who wants to do grocery deliveries with actual grocery orders. Working together with grocers and other retail partners to make sure that all of this ecosystem is set up for perfect delivery quality. There's just a lot of different small things. I mean, if you looked at the list, it would probably be like a project list of like 100s or something like this. So there isn't any one thing. I think the key learning is that, it would be one that there still remains a lot of product improvement left. We're really satisfied with what we've done in ‘24 and in the years prior, but there's a long way to go. Two, customers who started by building a relationship with us in grocery of buying small top-up orders for the middle of the week run are now buying larger baskets and we're now serving all of their use cases. This is kind of the point Rob you made to an earlier question about how the spend is growing for each recurring customer. And three, this I think, that was a bit to another part of your question which is that you know more and more, you know, grocers see that you know the business that we bring and the customers that we bring is very incremental to what they see through their own channels as well as with other partners. And so I think all of these things have been very strong indicators that we're on the right path. But as I mentioned, I think kind of the main one still, you know, in terms of our focus is we just have to keep working on the product. We feel, again, really good about the progress we've made, but we still feel like we're super early in terms of what grocery delivery should look like.
Eric Sheridan: Great, thank you.
Operator: Your next question comes from the line of Jason Helfstein from Oppenheimer. Your line is open.
Jason Helfstein: Thanks, if I could ask two questions. Just general thoughts on DashPass, appreciate you sharing the growth rate and the numbers. I guess, how do you think about the growth from here and any catalysts to potentially accelerate the growth? And then second, I think the math on GOV per MAU was of up 6% in ’24. I think it was up 8% in ‘23 if our math is right. Just maybe talk about the factors that would be impacting this, whether U.S., non-U.S., restaurant, non-restaurant? Thank you.
Tony Xu: Maybe I'll start with the first one on DashPass, and Ravi, you can take the second one. So with respect to DashPass, I think it's a pretty straightforward playbook. I think to start, we have over 100 million customers, who order with us annually, but when you look at DashPass and Wolt+, we're only in the tens of millions, right? And so we have a large fraction of our customer base within our own ecosystem that are not subscribers. So that's the first thing we have to go and solve. I think before trying to solve other problems. And so, okay, how do we solve that? Well, I think it's really by making the product better and making it more obvious why joining as a subscriber is better than not joining as a subscriber. But, you know, so all of the commentary I've made earlier about improving the selection, making sure that there are more exclusive benefits for subscribers, making sure that the quality is perfect, making sure that customer support is improving. All of these things are going to help the ecosystem want to be more frequent users of our service. And when someone is a greater frequency user of our service, then they actually, I think, would be more willing to consider a membership program. And so that's where the focus really is. I don't think that we have to do anything unnatural to see growth in our subscriber programs. We feel really good about where we're at and we just have to keep going.
Ravi Inukonda: Hey, Jason to your second point, I mean, I appreciate the math that you're trying to do, but looking at the blended number is not really indicative of sort of like what are you seeing from an underlying trends perspective, right? For us, when we think about this business, it's a cohorted business. We're still acquiring new users for the pretty healthy clip. And usually what you see in the business is when new users join, they have a lower order frequency before they graduate on to ordering more on the platform. The real way to think about it is looking at it on a cohorted basis and look at the underlying cohorts, right? Whether it's retention, which is doing really well, retention continues to improve, whether it's order frequency that continues to improve. And the second dimension you should look at is look at the various different lines of business. When I look at the restaurant business, I mean, the growth is strong. Users are still continuing to grow. They're ordering more with us. Number two, even on new verticals, to an earlier question, right? Like I talked about the fact that users are growing as well as their order frequency continues to grow. The second thing, I would look at is truly to look at the health of the business, you look at the older cohorts. The older cohorts continue to be very strong and they continue to increase their engagement as well as order frequency over time. And that just tells me that, you know, the underlying cohort strength is strong both for new as well as the existing cohorts.
Operator: And does that complete your questions?
Jason Helfstein: Yes, thank you.
Operator: Your next question comes from the line of Ken Gawrelski from Wells Fargo. Your line is open.
Ken Gawrelski: Thank you very much. Two, if I may please. First, on advertising, you list it as the fifth area where you can build a great business. Could you speak, please, to the roadmap for the next 10, 12 to 24 months? Do you feel you have the advertising product and the overall product experience ready to aggressively scale ads? And then the second question is more on Dasher supply. Could you just talk about one bigger picture, how you see the Dasher supply environment and how you think it may evolve throughout the year? And then secondarily there, are you seeing a segmentation of kind of use cases we're seeing and reading about Instacart and Uber beginning to differentiate between delivery, in-store, and kind of pick and pack? Thank you very much.
Tony Xu: Hey, Ken, I can start. I mean, I think there were -- I think, a few questions in there. I think the first question was around ads. I mean, ads had a great year, in terms of what we worked on. It's always two sets of products, one set of products for consumers and one set of products for advertisers, right? And it's because when you build advertising, you're constantly trying to solve the set of simultaneous equations where you're balancing how do you achieve the highest return on ad spend for the advertisers. And then the least amount of degradation, ideally no degradation for consumers. And so I think there's a distinction between what you're saying, which is like, there's an assumption you made in your question that you would aggressively scale if you're ready to scale. And I would challenge that by saying, it's important to make sure that an advertising business follows a healthy marketplace. And that an advertising business in and of itself is quite a short-term pursuit. And so the way we think about it is, well, we got to keep making sure that our ads are more and more relevant. We have to make sure that there are more and more units, so that they can solve different types of problems for advertisers. But we also have to make sure that standard things like reporting and other kinds of tools of integrating other platform partners that I think advertisers are accustomed to seeing or working with. I think these are all kind of like par for the course, but I think the most important thing of getting the product right is making sure that we can balance the needs of the advertiser with the needs of the consumer. Because again, the way I think about this is that a healthy marketplace always precedes and trumps an advertising business. With respect to Dasher supply, Dasher supply looks really good. We've had very strong supply on the road. Obviously, there's been some challenging circumstances with weather in different parts of the world, as well as, unfortunately, different natural disasters that have also occurred. But outside of those anomalies, Dasher supply continues to look really, really healthy. And I'm sorry, what was your last question about it?
Ken Gawrelski: Yes, I was just talking about differentiating supply versus core delivery versus what we're seeing some more differentiation versus pick and pack and it got to be in store versus delivery.
Tony Xu: I got it. Okay, I got it. Yes, yes, yes. Okay. That's helpful. I didn't know the two are connected. So we do see different preferences for different Dashers and couriers around the world. One of the benefits of starting with the highest frequency delivery of restaurant food, as well as just the breadth of coverage that we offer, where there's a lot more restaurants there, other types of stores out there, we effectively have Dashers everywhere, and we have the largest fleet out there. And so a lot of this is just self-selection. That's kind of what we see. And it's a learning journey. Some Dashers prefer one type of delivery one week, but then they'll try another type of delivery and they may actually add to their preferences. So it's just something that we kind of, you know, continue to work on and continue to learn the different preferences. I think the most important thing is to remember the flexibility of the network, where the number one feature is that you have 90% of Dashers driving fewer than 10-hours a week. And so in some ways, what we're trying to do is we're trying to construct the maximum flexible set of opportunities for Dashers. And so as we add more categories, as we add more different types of tasks into our network, that should help in that direction.
Ken Gawrelski: Thanks, Tony.
Operator: And your next question comes from the line of Youssef Squali from Truist Securities. Your line is open.
Youssef Squali: Awesome. Thank you very much. So just as a follow-up to the ads question, Tony, can you talk a little bit about the importance of DSPs on the platform? Last quarter you signed a deal with The Trade Desk. Maybe how significant is that relationship to you and maybe other DSPs on the platform? And then this may be updated, maybe not. Can you talk the take rate was sequentially flat about 13.5%, I think the first time in while anything to read into that how much of the take rate was driven by advertising and maybe platform revenues in the quarter maybe that's for Ravi. Thank you.
Tony Xu: Yes, I'll start the first part on ads. I think all of these things are all par for the course, right, in terms of the partnerships. And if you think about what it is, right, the first thing we did with ads when we started three years ago was we first built them for restaurants. And within restaurants, you have two different kinds of advertisers, if you will. You have small and medium businesses. And then you have enterprise businesses, some of which are larger and some of which are smaller, but some of whom have franchisees, some of whom have no franchisees. And then we moved to CPG as we progressed, especially in our work into new verticals. And now we have the product portfolio really to serve anyone. And now we're doing this globally as well. And so that's kind of where we're at. We're now ready, as you mentioned, we announced a partner. And we'll likely have more partnerships where we'll just kind of keep solving for what I think advertisers are somewhat accustomed to, right? We understand that this is a really important ecosystem. There are a lot of different partners that existing merchants and advertisers work with. And I think that'll just be part for the course of building out that roadmap.
Ravi Inukonda: And Youssef on the second point, right? I mean, the take rate in terms of Q4. The impact was largely seasonal due to Dasher Pay. Look, I mean, Q4 is a great quarter for us in terms of growth. We've seen this in historic years as well, so we lean into Dasher Pay in order to support the growth. That's largely what you're seeing in terms of the Q4 take rate. But more importantly, right, just to pull back, I mean, again, important to reiterate how we operate the business. We're not operating the business towards a specific margin percentage. Our goal has always been to continue to increase overall profit dollars. And the way we think about the business is generating unit economic efficiency is extremely important for us. And when we generate the efficiency, we try to reinvest that back in the business with a constraint of A, growing retention and B, growing order frequency. Because that drives scale and scale drives profitability in the business. And we are investing flexibly up and down the P&L and that's been the philosophy that we've operated for the last several years, and it's going to continue to be the case going forward as well.
Youssef Squali: That's great, okay. Thank you both, that felt cool.
Operator: And your next question comes from the line of Brian Nowak from Morgan Stanley. Your line is open.
Brian Nowak: Great. Hey guys, thanks for taking my questions. Maybe two, the first one, I'd love to sort of dig into a little bit of the prioritization changes year-on-year. Tony, can you sort of talk to us about how your ‘25 budgeting and investment priorities or areas of capital allocation changed versus the start of ‘24? I'm trying to sort of think through where are you sort of investing more or less year-on-year just to sort of continue to maximize your multi-year free cash flow, dollar growth and frequency? And then the second one, maybe a little bit of housekeeping, but just so we all don't get over our skis. How should we think about the pace of the buyback and sort of the cash balance or targeting or what is sort of the regulator on the pace of the buyback going forward? Thanks.
Tony Xu: Yes, I can start on maybe the prioritization question and Ravi if you want to take the buyback question. I guess in short, Brian, not much has changed. I would say ‘25 versus ‘24. I wish that an infinite amount of progress can happen in 12 months, but things usually take a lot longer than I would hope. And that's certainly been my experience so far. And I think what I do see though is that I see continued product market fit improvements effectively everywhere. And so whenever I see that, I'll just continue to double down. So I think it's hard to see these things year-to-year. I mean, even if you looked intellectually honestly at our ‘24 results or the Q4 results, I mean, most of those things were baked a long time ago, right? Because they were a product sum of the decisions and prioritization actions taken, you know, leading up to it. And the reason why I'm proud of our ‘24 results is probably a reflection of the work that we started in ‘22 or ‘23 or something like this. And that's kind of how I viewed ‘25, you know, and so I continue to see great reason to invest in each one of our areas. I mean, we have a stable -- we saw a stable and strong growth in the U.S. restaurants area, which is our oldest area of exploration, but I continue to think that there's a lot more room to go there. Obviously, we have very strong candidates for investment both overseas, as well as outside of restaurants. Commerce platform continues to do well. I think commerce platform right now, we're really only addressing a couple of problems with first-party delivery and first-party ordering. But obviously, if you think about how do you become a digital powerhouse, you have to do more than that. And then there's the ads business, which has done amazing. But I kind of expected that. Again, I think that a healthy ads business follows a healthy marketplace. And I think our teams have executed really well and have followed a pretty clear line there. And so I think in each one of those areas I kind of see very similar areas of investment year-on-year. I think for me it's actually thinking about well, what other problems can we solve and making sure that we're taking enough risk and working creatively enough with our customers so that we can be more and more useful.
Ravi Inukonda: Hey, Brian, on the second point on buyback, I mean, look, I think it's important to reiterate how we think about capital allocation. Our philosophy around that has not changed. The way we think about it has been very consistent, which is anytime we invest every dollar we put to work, we expect to generate a meaningful amount of return. That's been the strategy we employed and continues to be the case. Now you look on the buy-buy piece, right? I mean, we're pretty happy with the results we've generated over the last couple of years. We've generated over $2 billion in terms of shareholder value. We've been opportunistic. Our goal is to drive returns over a longer period of time, and we'll continue to be opportunistic and conservative going forward as well.
Brian Nowak: Okay, thank you both.
Operator: And this does conclude our Q&A session, and we will be concluding today's conference call. We do thank everyone for your participation and for joining, and you may now disconnect. Have a great day, everyone.